Sean Browne: Good afternoon, everyone. I am pleased to announce record fourth-quarter revenue of $31.5 million and for the full year, $117.3 million. This is our first full quarter. A consistent year-over-year comparison with the Surgiline business incorporated into our revenue which amounts to a 12% growth quarter over quarter and a 28% year-over-year growth. And from a profitability perspective, we again delivered positive adjusted EBITDA of $438,000 in the fourth quarter. This accomplishment was achieved despite an inventory write-off of $1.5 million related to the Surgiline acquisition as Scott Neils will explain later. In summary, 2024 was a challenging year on many fronts with the integration of the various Surgiline businesses and the ambitious challenge of vertically integrating Xtant Medical Holdings, Inc.'s Biologics offering. I'm thrilled to say that as a team, we have come out leaner and better prepared to create a self-sustaining, growing, and profitable company. Operationally, we continue to look at opportunities to leverage the Xtant Medical Holdings, Inc. and Surgiline platforms to improve efficiency. Through this work, we were able to generate cash flows from operations in Q4 of over half a million dollars for the first time since 2022. Since August and through the current first quarter of 2025, we have reduced our operating expenses by approximately $5 million. A portion of this cost savings was achieved through headcount reductions of more than 13%, most of which was tied to the closing of the Greenville facility and other acquisition-related activities. Recall, we acquired our Greenville facility when we acquired the Nanos production operations from RTI Surgical in October 2023. We recently moved the production of our Nanos products to our Belgrade facility. As we continue to vertically integrate our biologics business, we believe we will realize additional operating efficiencies tied to greater throughput and improved processes. From a hardware perspective, we continue to rationalize old and redundant lines. This is a good example of where we have chosen to give up some top-line revenue due to the capital required to maintain our hardware line. Furthermore, as we bring more lines into our main distribution facility in Belgrade, we believe there will be additional savings compared to using a third-party logistics company in 2024 that is not as efficient as our own operations. From a commercial perspective, our biologics business grew 21% for the year, while our hardware took a 10% dip. Two main drivers for the growth in Biologics were, first and foremost, our new stem cell offering branded as OsteoVide Plus, which has done very well for us out of the gate. The second driver was our new Ambion product line. Conversely, our hardware drop-off was tied to two significant issues. First, to a very strong previous year comparison that included several rationalized surgical identification lines, these were lines that Surgiline discontinued prior to our acquisition. And secondly, our international business continued to fight through EU supply chain issues that impacted their sales again in this quarter. From a new product development perspective, we anticipate four new biologics products scheduled to launch this year. The primary release will be our own growth factor product, which we are excited about because it will complete the targeted vertical integration of our current offering. Two of our new products will be upgraded DBM-based products that should drive higher revenue of gross profit. The last of these new product lines will expand our surgical wound care offering. Our surgeons currently use all of these products and our independent agent partners have requested them for quite some time. This year, we expect to pick up solid growth in our OEM business. These OEM opportunities serve two purposes. First, it's a great channel for us to leverage manufacturing capacity to grow profitably. Second, it serves as a means for Xtant Medical Holdings, Inc. to learn more about adjacent markets such as foot and ankle, trauma, surgical wound care, and other relevant markets that we can serve now with our current expanded offerings of products which many of these serve these adjacent markets. With that as a backdrop, in January of 2025, we licensed another Q code for our single-layer Amneon product. This brought us an upfront licensing fee of $1.5 million and production minimums for an OEM partner. However, most of these minimums will not continue if the local coverage determination or LCD for skin substitute takes effect as planned on April 13th. Looking ahead to 2025, we are continuing our pursuit of achieving self-sustainability. Our corporate direction moving forward has been prioritizing profitability ahead of revenue growth. We plan to leverage our cost-cutting measures to return our business to a sustainable cash-flowing business. In fiscal year 2025, we expect mid-double-digit revenue growth in Biologics, and to stay consistent to modestly down revenue year over year in hardware. From a hardware perspective, we continue to look at rationalizing lines to optimize both our offering and our management of cash. From a profitability perspective, our goal is to be sustainably cash-flowing by the end of the year. From a guidance perspective for the full year 2025, we expect revenue in the range of $126 million to $130 million, which is an 8% to 11% growth, with which together with our anticipated cost savings we project that we will not need to raise additional capital. With that, I will turn the call over to Scott Neils for a more detailed review of our financial results.
Scott Neils: Thank you, Sean, and good morning, everyone. Good afternoon, rather. Total revenue for the fourth quarter of 2024 was $31.5 million compared to $28.1 million for the same period in 2023. The 12% increase is attributed primarily to 21% or $3.2 million year-over-year growth in our biologics product family, exclusive of the impact of $1.5 million of license and revenue during the fourth quarter of 2024. This increase was partially offset by a 10% or $1.3 million year-over-year reduction in spinal implant sales. Gross margin for the fourth quarter of 2024 was 50.8% compared to 61% for the same period in 2023. Throughout the course of 2024, we worked to verify the existence of inventory associated with our acquisition of Surgiline Holdings hardware and biologics business. These procedures were completed during the fourth quarter, resulting in a $1.5 million recharge. This adversely affected gross margin by 680 basis points compared to the same period a year ago. Additionally, gross margin was adversely affected by 570 basis points during the fourth quarter of 2024, compared to the same period in 2023, for reduced yields and throughput. The amnio and stem cell production was optimized. Fourth-quarter 2024 operating expenses were $17.9 million compared to $21 million in the same period a year ago. As a percentage of total revenue, operating expenses were 56.8%, compared to 74.5% in the same period a year ago. Sequentially, operating expenses declined $2.2 million and declined as a percentage of revenue compared to Q3 2024 by 15.5 points. General and administrative expenses were $5.7 million for the three months ended December 31st, 2024, compared to $8.9 million for the same period in 2023. This decrease is primarily attributable to $2.1 million of reduction to various compensation plans as well as reductions in professional fees totaling $1 million. Sales and marketing expenses were $11.7 million for the three months ended December 31st, 2024, compared to $11.6 million for the same quarter last year. This increase is primarily due to higher commission expenses of $0.7 million related to increased sales, partially offset by reductions in salaries and wages totaling $0.5 million. Research and development expenses were $522,000 for the three months ended December 31st, 2024, an increase from $492,000 in the fourth quarter of 2023. Net loss in the fourth quarter of 2024 was $3.2 million or $0.02 per share, compared to a net loss of $4.3 million or $0.03 per share in the comparable 2023 period. Adjusted EBITDA for the fourth quarter of 2024 was $438,000 compared to an adjusted EBITDA loss of $695,000 for the same period in 2023. Beginning in the fourth quarter of 2024, we are no longer including the phasing of the bargain purchase gain on our sell-through of inventory acquired as part of our purchase of Surgiline Holdings hardware and biologics business in our calculation of adjusted EBITDA and prior periods have been recast to conform to the current calculation. The related effect on adjusted EBITDA was a reduction of $1.4 million in the fourth quarter of 2023 to arrive at the recast amount. Turning now to our full-year financial results. Total revenue for 2024 was $117.3 million compared to $91.3 million for 2023, an increase of 28%. This increase is primarily attributable to the additional sales from our higher independent agent sales, and $1.5 million of upfront licensing revenue related to our SimplyMax product and associated trademarks. Gross margins for 2024 were 58.2% compared to 60.8% for 2023. Of this decrease, 220 basis points were due to product mix, and 200 basis points were due to reduced production throughput. 2024 operating expenses were $80.3 million or 68.5% of total revenue, compared to $65.6 million or 71.9% of total revenue in 2023. General and administrative expenses were $28.7 million for the year ended December 31, 2024, compared to $25.9 million for 2023. This increase is primarily attributable to an increase in stock-based compensation, severance expense, additional hardware and software expense, and additional amortization expense, which were partially offset by a reduction in various compensation plans. Sales and marketing expenses were $49.2 million for 2024, compared to $38.4 million for 2023. This increase is primarily due to higher commission expenses related to increased sales, as well as higher professional service fees. Research and development expenses were $2.4 million for the year ended December 31, 2024, an increase from $1.3 million from the prior year. This increase is primarily due to additional personnel added with our acquisitions. Net loss in 2024 was $16.4 million or $0.12 per share compared to net income of $660,000 or $0.01 per share in 2023. Note that 2023 net income included an $11.7 million gain on bargain purchase related to our acquisition of the Surgiline Hardware and Biologics business. Adjusted EBITDA for 2024 was a loss of $2.3 million compared to a loss of $1.4 million for 2023. As previously noted, we are no longer including the phasing of the bargain purchase gain on our sell-through of inventories acquired as part of our purchase of Surgiline Holdings Hardware and Biologics business in our calculation of adjusted EBITDA. The related effect on adjusted EBITDA was a reduction of $2.3 million in 2023 to arrive at the recast amount. As of December 31, 2024, we had $6.2 million of cash, cash equivalents, and restricted cash. Net accounts receivable is $20.7 million, inventory was $38.6 million, and we had $4.2 million available under revolving credit facilities as of the end of 2024. Operator, you may now open the line for questions.
Operator: Certainly. Everyone at this will be conducting a question and answer session. If you have any questions or comments, please press star one on your phone. Your first question is coming from Chase Knickerbocker from Craig Hallum. Good afternoon. Thanks for taking the questions.
Chase Knickerbocker: Congrats on the quarter here. I guess just to start on Biologics, if we think about kind of sequential growth there, sounds like it was largely driven by the DBM launch. Is the majority of that white label, or was there any pull-through on your, you know, internally developed product in Q4 through your distribution channel?
Sean Browne: Yes. So primarily white label. We are finishing off the last bits of our, so like, literally, like, the middle of December we finished off the last of the distributed products, and we saw a little bit of pickup on our own label product, but it was mostly the white label.
Chase Knickerbocker: And as we enter the year, is that a pretty meaningful portion of that kind of mid-teens growth that you're kind of accounting for? And, you know, is there a way for us to think about it from a standpoint of kind of expanding those current relationships on the white label side? Are you ramping kind of new ones? Just kind of walk us through how that's going to work for DBM and your ultimate expectations for it in 2025.
Sean Browne: You know, four months ago, I would've told you that a big part of the growth is going to be mostly on the white label side, not mostly, but a good shot if it was on the white label side. Our funnels right now look very, very good for our Xtant branded product. So what I'd tell you is that the DBM product is going to be a big part of our growth this year. And as I look at it today, it's probably going to be about a 50/50 percent split.
Chase Knickerbocker: As far as white label and the Xtant Brand, is that correct?
Sean Browne: Yeah. Yeah. And then on the growth factor side, kind of any expectations on when we could have that launched? And is that a pretty material contributor to 2025?
Sean Browne: Yeah. Yeah. So two things for that. So first of all, the product is to be finished this quarter, so we're excited about the product being done. But we still have another three months or so of our current product line that we'll be working through. And so from there, what we are looking at is a couple of things. You know, there's with our current product line, there's some limitations to where we can sell it. So we're hoping that we can now start being able to open up this product line a lot more. So as to the second half of this year, we should certainly see a pickup from a margin perspective. And then secondarily, we hope to see at least the revenue begin to climb, you know, after we've basically, we gotta take out the last line and make sure that we keep that business, but then also it from there. And, Scott, sorry if I missed it, but what were the exact impacts to gross margin in Q4 from those inventory write-offs?
Scott Neils: The one related to our inventory cleanup or the inventory charge related to Surgiline inventory was just under 700 basis points. It's actually 680. And then the difference in throughput was about 570 basis points.
Chase Knickerbocker: Got it. And is there if we think about 2025, any color you can give towards gross margins, we should see some improvement, I would imagine, as DBM starts to sell through the direct channel in a bigger sense as well. Any thoughts on gross margin for 2025?
Scott Neils: Right. We finished the year, for the full year, at 58.2%. And I think as we walk through the course of 2025, you know, by the time we get to Q4 of 2025, I think we pick up four or five points as we see the impact of DBM and some of the other new product introductions we'll be rolling out.
Chase Knickerbocker: Great. Thanks, guys.
Sean Browne: Thank you.
Operator: Your next question is coming from Ryan Zimmerman from BTIG. Your line is live.
Ryan Zimmerman: Hi, Sean. Hi, Scott. This is Izzy on for Ryan. Thank you for taking the question.
Sean Browne: Hello, Izzy. How are you?
Ryan Zimmerman: Good. Thank you. Just to start with 2025 guidance, I was hoping if you could speak to some of your assumptions around pacing and what would get you to the low and high ends of the guide.
Sean Browne: Got you. You want me to jump in or you wanna jump in on this?
Scott Neils: Yeah. Maybe I'll set the stage for it. And if you wanna add any color to it, feel free to jump in, Sean. But I think from a phasing perspective on the top line, I think we look for seasonality that directionally is consistent with what we saw in 2024. That said, I don't expect to see as dramatic an increase in sales transitioning from Q1 to Q2 really only because of the impact of somewhat of what we'll see on the annual licensing side here in Q1. As we move down into OpEx, you know, having covered gross margin with Chase, turning to the OpEx front, you know, I think we pick up maybe a point on the G&A side during the course of the year. I think we took up significant leverage in sales and marketing. You know, we're probably picking up four to five points as a percentage of revenue on that side of things, and then I think R&D, we look to stay largely flat during the course of the year.
Sean Browne: Does that give you some good color, Izzy?
Ryan Zimmerman: Yeah. That's helpful. Thank you. And is there anything that would allow for any outperformance in 2025 that we should keep in mind?
Sean Browne: Sure. Well, one of the big ones is if the LCD gets pushed in any way. Additionally, to that point, if you think about the way the LCD for the wound care side is set up, it really only covers diabetic foot ulcers and venous leg ulcers. And so that's, you know, when I listened to the gentleman from Organogenesis as well as my medics that makes them about 57% of that total market. So some of that OEM revenue that we have or at least licensing revenue could certainly pick up in that realm. There's other things, too, that from one of the things that I wanna make sure of that we can when we bring on an OEM player, for any of our products that we can reliably supply them. We've been on the wrong side of that ourselves. So as we create more capacity within our plants, which is some of the things we're working on as we speak, we think that there's a, quite frankly, we got plenty of demand. It's a matter of, you know, getting the donors, having the clean rooms, and all the things available so that we can produce what we need to produce. To really knock this number out. So I feel good about the top line side of the thing. It's just a matter of making sure that we can we don't outkick our coverage, so to speak.
Ryan Zimmerman: Understood. And I heard your comments around that guidance isn't gonna require any additional capital. Curious if you guys are holding back spend in any other areas that would potentially allow for growth if you had it on hand.
Sean Browne: Oh, that's a great question. You know, like anything. Yeah. I mean, I'll tell you. Back in the dot com days. Right? You know, if you had enough money, you could just keep buying or, you know, buying business, basically. So, yeah, there's certainly a way to buy business. No question about it. But what we are trying to build is really something sustainable. And so to that end, you know, we wouldn't be doing anything that would be that detrimental to our growth engine. It's just that, you know, there's certain things. Like, for instance, hardware is a great example. You know, we have certain product lines that are pretty old for us, where we might have, say, ten doctors out there that are using ten different sets of, say, a pedicle screw line, an old pedicle screw line. You know, if we wanted to upgrade those lines and bring them up to, say, you know, if we had to buy brand new ones, we have to buy twenty new sets altogether even though we only have ten sets being used. And so, yeah, we could be buying stuff like that on the come, but it's just, you know, and hardware is one of those things where there's a lot of, you know, you could put a lot of money into hardware and, you know, before you know it, you have outstripped all of your profitability through CapEx. And so that's just something we wanna keep an eye on.
Ryan Zimmerman: Got it. And then last one for me. I'm just curious how quickly we should start seeing some of the cost savings move into the P&L? For taking the questions.
Sean Browne: Great. Scott, I'll throw that over to you.
Scott Neils: Well, I can tell you right now, we're ready immediately. You start to see some of it already in the fourth quarter. But you'll see a significant amount here in the first quarter. Scott, I'll let you add to that.
Sean Browne: Right. I think that's exactly right. We put the wheels in motion on those. To the extent we've needed to reduce headcount, we've done so and we've put the spend reductions in place where necessary. So those are locked and loaded heading into 2025.
Ryan Zimmerman: Thanks for taking the questions.
Sean Browne: Great. Thanks, Izzy.
Operator: Thank you. That concludes our Q&A session. I'll now hand the conference back to President and Chief Executive Officer, Sean Browne for closing remarks. Please go ahead.
Sean Browne: Thank you, operator. First, I'd like to thank our hardworking Xtant Medical Holdings, Inc. team members and their dedication to our mission of honoring the gift of life so that our patients can live as full and complete a life as possible. And then, thankfully, I'd like to thank all of you who have joined us today. We greatly appreciate your support. And we're really excited about our self-sustaining year of 2025. Thank you.
Operator: Thank you. Everyone, this concludes today's event. You may disconnect at this time and have a wonderful day. Thank you for your participation.